Operator: Good day ladies and gentlemen, and welcome to Etsy's Second Quarter of 2018 Earnings Conference Call. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to turn the conference over to Deb Wasser, Vice President of Investor Relations. Please go ahead.
Deb Wasser: Thank you, operator. Good afternoon and welcome to Etsy's second quarter earnings conference call. Joining me today are Josh Silverman, CEO; and Rachel Glaser, CFO. Before we get started, just a reminder that our remarks today includes forward-looking statement relating to our business strategy, financial guidance, and key drivers, thereof, upcoming product launches, investments and marketing and international growth and the impact of our four key initiatives, and new pricing model on future GMS and revenue growth. Our actual results may differ materially from the statements made. Forward-looking statements involve risks and uncertainties, which are described in our press release today and in our 10-Q filed with the SEC on May 9, 2018, and subsequent reports that we filed with the SEC. Any forward-looking statements that we make on this call are based upon our beliefs and assumptions today, and we don't have any obligation to update them. Also during the call, we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which you will find on our Investor Relations Web site. A link to the replay of this call will also be available there, and if you prefer to access a replay via phone, you can find that information in the press release as well. Finally, for your reference, we hope that you’re following along with the presentation that we had created to highlight our second quarter progress. It accompanies our webcast and its posted separately on our IR Web site. With that, I'll turn the call over to Josh.
Josh Silverman: Thanks, Deb, and good afternoon, everyone. Q2 was an exciting quarter, marked by strong business performance, along with several major announcements and launches. Let's start by diving into the results, highlights of which are shown on Slide 4. First, GMS growth was 20.4% year-over-year, a 60 basis point acceleration compared to Q1 and our fourth consecutive quarter of accelerating year-over-year GMS growth. On a constant currency basis, GMS accelerated from 17.6% in Q1 to 19.3%. We grew revenue 30% year-over-year and EBITDA margins remained strong at 21%.Excluding a one-time adjustment related to shipping, revenue growth would have been 27%, our fastest growth rate since the third quarter of 2016. Active buyers grew 17% and active sellers grew 8% indicating that we continue to deliver on our commitment to bring a growing base of buyers to our sellers. Our conversion rate increased for the third consecutive quarter, driven most notably by improvements in mobile web, which was our fastest-growing platform by number of visits and conversion rate. And while it's still early days, we continue to see promising signs that we're making progress improving buyer frequency. For example, trailing 12-month GMS per active buyer is up year-over-year for the first time since the fourth quarter of 2016. Furthermore, our 60-day repeat purchase rate continued to improve and the number of buyers that made four or more purchases within the last 12 months grew at an accelerating rate. Our most significant news of the second quarter was, of course, the changes we announced to Etsy's pricing model. Over the past 13 years, Etsy has built a vibrant highly differentiated two-sided marketplace, giving our sellers access to nearly 36 million buyers, who value the kind of unique special items that our sellers have to offer. In addition, we provide creative entrepreneurs with services and tools that make Etsy an easy place to start, manage and grow a business. We believe that Etsy's new pricing model, which went into effect in mid-July will allow us to further expand our marketplace and support our seller community. We carefully analyzed a range of options for our revised pricing model and waited to demonstrate the strength and growth of our marketplace before making this important change. As outlined on Slide 6, our pricing model changes include an increase to our transaction fees from 3.5% to 5% and applying the transaction fee to the cost of shipping in addition to the cost of the item. We believe that 5% is excellent value compared with other channels by which our sellers could acquire customers and sales. In addition to the fee changes, we rolled out new monthly seller subscription packages designed to help sellers succeed at each phase of their business lifecycle, which we've begun to market the targeted groups of sellers. We also began applying the transaction fee to shipping, a standard industry practice in e-commerce. We think this will have the added benefit of incentivizing sellers to appropriately and fairly price shipping relative to the cost of the item, improving the experience for buyers and helping drive conversion and frequency over time. I would also like to point out that we chose to make the changes to the transaction fee and not the listing fee, which remains at $0.20 because the transaction fee is entirely aligned with the success of our sellers getting paid only when a seller makes a sale. This shared success is key to our overall business model when our sellers succeed, Etsy succeeds. We will be increasing our performance marketing budget, testing new marketing channels such as TV advertising, making strategic investments and seller shipping promotions and improving customer support. Some of these investments will be more speculative and we will continue to take a highly disciplined look at each of our investments through a payback lens, evaluating them against a desired rate of return over time. As shown on Slide 7, our higher transaction fee is expected to have a direct impact on our customer lifetime value or LTV. As LTV increases, we’re able to invest more to attract and retain customers, while still maintaining a positive ROI. We believe that by increasing the transaction fee to 5%, we are better positioned to bring more buyers to Etsy, generating more sales and growing the pie for everyone. While early days, we're pleased with how the rollout of the pricing changes has gone and seller feedback has been in line with expectations. There have been pockets of discontent regarding the fee increase, but sellers on the whole seem to understand the rationale for the change. And so far there has been almost no perceptible change in seller behavior, such as churn rates or item pricing. Turning to Slide 8. I'm also pleased to update you on the progress we made in the second quarter, executing on our four key growth initiatives. In search and discovery, we've been working on both personalization and curation. First, we're focused on curating diverse sets of high quality items, especially for visitors coming to Etsy seeking inspiration and without a specific purchase occasion in mind. In Q2, we ran several experiments surfacing user generated curated collections, which were featured on the homepage and within search as well as in our email and social channels. Early results are encouraging and we’ve received positive buyer feedback. We've also been working to personalize the search experience with results tailored to the individual desires and preferences of each buyer. We believe there's a great deal of opportunity to do better here and we are just beginning. For example, for the first time, we began to incorporate a buyers location as one of the attributes in the machine learning algorithm used to categorize and rank search results. By serving localized content higher up in the ranking, we better satisfy our buyers expectations of shipping speed and promote the look and feel of a local marketplace for buyers unfamiliar with Etsy. We also observe the tastes and trends are often regional, so location can be an important input for determining relevance. This launch had a positive impact on conversion rate and we're excited to continue leveraging our machine learning capabilities to drive more relevant and personalized search results. In our second key initiative, trust and reliability, we've begun to test ways that buyers can create user profiles to build an identity on Etsy where they can express themselves and their taste. We believe user profiles will help connect the community through social interaction, allow for more personalization and give our buyers more reasons to come back. And in customer support, we followed our Zendesk help center implementation with expanded availability of live phone support and in the coming months we will be testing live chat and applying machine learning to customer queries. Regarding our third key initiative, we've continued to invest in marketing capabilities to drive new and existing buyers to Etsy. As you've heard us say Etsy's buyer net promoter scores are strong. We have an amazing selection of products, appropriate for a wide variety of purchase occasions. Our opportunity is to expand the brand's relevance to be top of mind more of the time for current and prospective buyers, a clear call to action on a more frequent basis to a larger audience could drive both top of funnel visits and repeat frequency. During the quarter, we made structural improvements to SEO, and improved our ability to send more personalized and targeted emails to buyers to get them to return more frequently. We’ve continued to optimize our paid marketing efforts and this optimization coupled with increasing LTV's allowed us to put more dollars to work, while achieving our desired returns. We also will be testing a set of promotions in the second half of the year designed to influence seller behavior in key areas, such as shipping price. Off-line marketing is a potentially large untapped opportunity for Etsy. Last week was the premiere of a new NBC primetime 6 episode crafting competition called Making it, Starring Amy Poehler and Nick Offerman. The show features Etsy's trend expert, Dayna Isom Johnson and we have ads running in each episode. In the second half of the year, we will also experiment with a television campaign. We’ve produced two different creative concepts and each will be tested in three local markets. We will evaluate how these campaigns translate to etsy.com visits and purchase behavior, and begin to learn whether above the line advertising could be a scalable, ROI positive channel for accelerating growth. Our fourth key initiative is providing best-in-class seller tools and services. We continue to design tools to help sellers deliver a better buyer experience, which can help increase their sales or saving them time and providing better support. We've also made additional improvements to our Sell on Etsy app, which facilitates the seller's ability to sell and fulfill product. For example, we enabled custom listings allowing sellers to customize a listing to a particular buyers request all with a few keystrokes from the sellers mobile device. Custom orders are a key differentiator for Etsy. And this update removed a significant amount of friction for sellers. We added a feature so sellers are able to view activity and stats related to promoted listings in Google shopping, which we hope can become a gateway for further adoption of those marketing tools which in turn can drive GMS. As we’ve discussed improving shipping is a big priority for us. During the quarter, we began testing an estimated delivery date feature and we introduced an alert for sellers whose shipping price appeared to be above average and at educating them about pricing strategies. We also made progress on our work to offer shipping labels in the U.K and Australia later this year. We continue to enhance and improve our marketing services which allow sellers to invest to grow their own sales. This past quarter we saw steady increase in adoption of targeted offers. This product allows sellers to create sales promotions targeted to buyers based on their search history and shopping behavior. For instance, an item left in cart by a buyer becomes a prime promotional opportunity for seller at a later date, enabling the seller to target that buyer with the promotional price. We also improved promoted listings by refining the bidding algorithm, enabling us to utilize more of the sellers budget. Turning to Slide 9, Etsy is also continuing to focus on international growth. We recently announced a referral agreement with DaWanda, a privately held marketplace for gifts and handmade goods based in Germany with significant presence in Poland, Austria and Switzerland. As part of this agreement, DaWanda is encouraging its community of buyers and sellers to migrate to the Etsy platform. The DaWanda site will shut down at the end of August and all traffic will be redirected to us. DaWanda sellers are able to easily import their shops and listings to Etsy free of charge and we're investing in key areas to support a successful migration. Beyond Germany, we’ve continued to invest in the growth of our core international markets, which include the U.K., Canada, France and Australia. In Q2, local search enhancements, advances in machine translation, targeted search engine marketing and other product launches all helped to fuel our growth. Additional international progress has been made exploring opportunities beyond our core markets such as in India where we have a small team on the ground to help expand and support our seller community. To conclude it's been a great first six months of 2018 and we're very proud of our team for delivering on our commitments and staying focused on our four strategic initiatives While also executing against priority initiatives like the pricing change and GDPR. We’ve made steady and significant progress improving our conversion rates and making our extraordinary products easier to find and buy. But we're still in the early innings with much more opportunity in both of these areas. We're excited by the potential to become the habit for buyers when they seek something special and there's meaningful opportunity in other areas as well such as increasing our average order value through better cross-sell and up-sell and improving our shipping experience. I'm confident we have the talent, energy and ideas to make it happen. Company morale is high, attrition in Q2 was low and the team has a bounce in our step. Before I close, I want to highlight our impact report, which will be released soon on our Web site. Staying true to Etsy's mission of keeping commerce human means that we set the bar high and hold ourselves accountable to all of our stakeholders. We realize that many are counting on us. For sellers, our marketplace serves as a source of economic opportunity and empowerment. For employees, we work to provide a diverse and inclusive workplace and for the benefit of our planet we want to be mindful of our carbon footprint. It is not a coincidence that while we have moved quickly to improve our business results accelerating GMS and revenue growth we simultaneously continued to make progress on our impact strategy we've applied the same discipline and focus to each of these success metrics financial and social and they have reinforced each other in each contributed to our success. You will note in the report that women make up 50% of our Board of Directors, the majority of our executive team and nearly half of all leadership roles. The diversity within our technology and engineering teams is also far above most benchmarks and increasing. And we have made continued progress towards reducing our carbon footprint. We believe, we can and should be both a great business and a great corporate citizen and our results over the past five quarters demonstrate continued strong progress on both of these fronts. And with that, I'll turn the call over to Rachel.
Rachel Glaser: Thank you, Josh and hello everyone. It was a fantastic quarter for Etsy. As our financial and operating results will show. The second quarter was our highest quarter of GMS growth since Josh and i1 joined last year and the first quarter, with a GMS growth rate above 20% since Q2 2016. We are excited that our team's focus on our four key initiatives, it's having a tangible impact in our strategy to own special is taking faith. Before diving into the financial highlights, let me tough on two developments that impacted the business and our resources during the quarter. GDPR and state sales tax. During the quarter, we had cross-functional team hard at work preparing for the EU's general data protection and regulation, which will into effect on May 25. Overall, we are pleased with Etsy implementation. We saw a minor GMS softness in Europe in Q2, as GDPR consumed engineering resources that would otherwise have been pushing forward on our product road map. And also because of added friction to buyer experience factors we expect to continue in the back half of the year. The other event I will call out is a supreme Court Decision in the South Dakota versus Wayfair case, which overturned Quill, a decision that had kept states from taxing purchases made from online sellers, you lack a physical presence in the state. It is worth noting that there was a 24-day consortium, including South Dakota, that has provided guidance on a small business exemption threshold of $100,000 or $200 transactions? If the GMS and transaction threshold were applied to every state, the majority of our GSM would be excluded from states sales tax. I’m going to now move into our operating and financial performance, followed by providing our updated 2018 guidance. If I say otherwise, all numbers presented are rounded for ease of reference and the comparisons I will be referring to are on an year-over-year basis. I will start with a review of key operating metrics, some of which are shown on Slide 12. Etsy generated $902 million in GMS in Q2, up 20%. On a currency neutral basis, GMS growth would have been approximately 19%. The direct impact of currency fluctuations was less of a tailwind this quarter, contributing 110 basis points to as reported GMS growth compared to 220 basis points in Q1. At the end of the second quarter, Etsy had nearly 36 million active buyers, up 17%, and nearly 2 million active sellers, up 8%. GMS from repeat buyer continues to grow and represented 83% of overall GMS, up 23%, accelerating 200 basis points compared to last quarter. Search initiatives such as contact specific ranking, and scarcity signal, have made things easier to find and heighted demand. These are having a clear impact on repeat purchases. And Our 60 day repeat purchase rate continues to increase. This quarter we anniversied the introduction of both guest checkout and multi-shot checkout. Initiatives aimed at reducing friction in the buying process. Over the past year, guest checkout was an important driver of new buyer growth which we’ve seen decelerate slightly as we lapped this initiative. Multi-shop checkout, which enable buyers to purchase from multiple sellers in one transaction, was a driver of AOV this past year. GMS from paid channels, which was roughly 16% of overall GMS was up 47% and continue to grow much faster than overall GMS. In Q2, the majority of our marketing spend was related to paid marketing, primarily Google Product Listing Ads and SEM. In the second half of this year, we will apply a portion of our marketing budget to test offline marketing on television, in addition to other performance marketing channels outside of SEM and Google Product Listing Ads, such as retargeting Instagram and Facebook. Mobile GMS was 55% of overall GMS, up 400 basis points year-over-year. Mobile GMS grew 32% year-over-year, largely as a result of increased mobile traffic and continued improvement to our mobile shopping experience. Our product work to optimize the mobile web interface and remove friction from the purchase path has led us to continued improvement in mobile web conversion rate, which grew faster than both desktop conversion and mobile app conversion rates. Turning to international, percent international GMS was 34%, up 200 basis points compared to last year. International GMS growth was 28% or 24% growth on a currency neutral basis. Our product teams diverted resources in the quarter to focus on GDPR and support the DaWanda migration. So international product development was somewhat lighter than usual. With these operational metrics in mind, let me provide more details on our financial performance. All revenue comparisons that I'll be discussing reflect our new revenue presentation, which groups marketplace fees that are required as one revenue category, and fees from optional value-added services as the second category. During the second quarter, we reached the anniversary of the mandated use of Etsy payments for sellers in eligible countries, which have been a significant driver of revenue growth. We now expect year-over-year Etsy payments revenue growth rates to trend more in line with GMS growth in future quarters. As shown on Slide 13, total revenue was $132 million, up 30% driven by growth in both marketplace and services revenue. Marketplace revenue grew 21% primarily due to growth in Etsy payments and to a lesser extent growth in transaction fee revenue and listing fee revenue. Services revenue was up 55% and represented 30% of total revenue. Services revenue growth was driven primarily by growth in promoted listings, which accelerated for the fifth consecutive quarter due to improved click through rates. Services revenue growth was driven by a one-time $2.8 million adjustment related to Etsy Shipping Labels revenue representing approximately 11% of growth. Highlights of our P&L are on Slide 14. The full details of which can be found in our second quarter 10-Q which we plan to file shortly. There are a few noteworthy items in our operating expenses, that I will highlight in my discussion here. First, marketing expenses in the second quarter totaled $29 million at 5% representing 22% of total revenue compared to 27% last year. Second, G&A expense, which totaled $22 million in Q2 was down about 24% and represented 16% of total revenue compared to 28% last year. The changes to our organizational structure in 2017 have had a positive impact on G&A expenses. As previously stated, we expect G&A to grow slower than revenue for the foreseeable future. Headcount at the end of quarter was 814 higher than overall headcount last quarter as new hires outpaced attrition which was at the lowest point since 2016. Second quarter net income was $3.4 million with diluted earnings per share of $0.03 impacted by non-cash foreign exchange losses of $4.5 million or $0.04 per share. Foreign-exchange fluctuations on our P&L are primarily related to intercompany balances and this quarter drew a non-cash loss. Last year we recorded a tax benefit primarily due to employee stock option exercises, which were unusually high related in large part to exiting employees following a restructuring. Both of these factors contributed to the year-over-year decline in net income and EPS. Our revenue growth and increased operating efficiencies drove significant growth and adjusted EBITDA -- EBITDA this quarter. Adjusted EBITDA was $27.7 million and grew 118% year-over-year. Adjusted EBITDA margin was 20.9%, up 840 basis points year-over-year. The details of our balance sheet and cash flow are also in our filings, but I would like to highlight a few points. We recorded net cash provided by operating activities of $67 million in the six months ended June 30, 2018 compared to $15 million in the six months ended June 30, 2017. The year-over-year increase and net cash provided by operating activities for the quarter was primarily driven by revenue growth and leverage in operating expenses. In Q2, we repurchased roughly $21 million of our common stock or approximately 723,000 shares, completing the $100 million share repurchase authorization approved by our Board in Q4 of 2017. Pursuant to the DaWanda referral agreement, we paid approximately $35 million in cash, which is reflected in our Q2 financial results. As of June 30, 2018, we had cash marketable securities and short-term investments totaling approximately $568 million. Turning to our outlook, I will start by addressing how we're thinking about our new pricing model? When you decided to make this change, we focus on how it would support our sellers and enable further investments across the platform. Overall, we are reinvesting 80% of our incremental revenue and the flow-through rate to EBITDA is approximately 20%. As long as we see that our investments are producing a rate of return, that exceeds our hurdle, we expect to continue to invest for growth. If we're not satisfied that these investments are delivering value over time, we will end them and deliver more to the bottom line. On a long-term basis, we expect a high flow-through incremental revenue to EBITDA. But first we have a lot of growth coming into. To give you a bit more color on our investment plan, on Slide 15, you can see some of the items we’ve already begun working on this quarter. We plan to increase performance marketing investment by at least 40% in 2018 to over $110 million enabled by our new pricing structure and continued optimization of our acquisition models. We are testing offline marketing and TV advertising to gauge the impact of brand marketing. The majority of the two creative campaigns we’ve produced will be expensed in Q3. We are excited to see what this experiment will yield, but it's entirely new territory for Etsy, and we will evaluate the results before determining whether it is appropriate to incorporate real upside in our projections. Lastly, our significant improvement to customer support are achieved through an increased level of investment. Extending to a 24/7 sound support model, implementing live chat and expanding customer support in Dublin for our German and Polish sellers modestly increases our support cost, which we expect to impact gross margin in the short-term. In addition, we are beta testing premium services, such as dedicated inbound phone support and consultative services. And this investment is factored into our second half cost base. Similar to television, our experiment which we believe will have a positive return to long-term, which are being evaluated to determine if they’re wins or not? In addition to the increased marketing spend starting this quarter there are a few new answers that may not be factored into your Etsy model as follows: first, we had higher than higher-than-expected attrition rate in the third quarter of 2017 and our headcount was lower than we planned. In the first half of 2018, we had lower attrition ahead of scaled our recruiting efforts. So our headcount is now back on track. In other words, your Q3 EBITDA assumptions should factor in our lower than planned headcount last year. Second, our engineering team has spent significant time and resources on the Google Cloud migration which is progressing well and on plan. It is likely that we will come closer to the high-end of our spending range of $10 million to $15 million for 2018 and our spend will be weighted more heavily to the back half of the year. As a reminder, during the migration, we will maintain our existing data centers for redundancy. Finally, as you may know, Q4 is a seasonally higher margin quarter for us. With that in mind, I’m pleased to report that we are raising our full-year 2018 guidance for GMS to 18% to 20% as shown on Slide 16. Revenue guidance also moves up to 33% to 35% year-over-year and we expect our adjusted EBITDA margin to remain 21% to 23% as we are focused on growth investments. We continue to point to several headwinds that may offset the growth we expect in 2018, such as GDPR, potential turn from our new pricing model, foreign-exchange and various geopolitical events. For additional factors that may impact our guidance, please refer to our Q2 presentation on our Investor Web site. We're pleased with the investments we've made in foundational initiatives and development of our products to drive GMS growth. We expect the changes to our pricing model to unlock significant future value as we reinvest in the seller community and amplify our message to buyers. We are excited about these changes and look forward to the impact on future quarters. Thank you all for your time today. I will now turn the call back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Heath Terry with Goldman Sachs. Your line is now open.
Heath Terry: Great. Thanks. As we look at the virtuous cycle that you guys have talked about related to the increase in take rate. Can you give us a sense of just sort of how quickly you expect the flow-through, the marketing line. I guess, you’ve touched on it, Rachel, in your comments on sort of the marketing guidance. I guess, how quickly you think that will impact GMS growth? I know you took numbers up slightly for the -- in your revised guidance, but just kind of curious how much of an impact or how quickly you think that impact actually shows up in numbers as we think about the impact of just performance advertising.
Josh Silverman: Yes. Thanks Heath for the question. Where it affects us, the way we think about our performance marketing is for the next dollar we spend what's the return on that next dollar. And so what this allows us to do is push further down that curve, there's a bunch of, let's say, key words we were buying or GPLA ads we were investing in before that were already profitable. So you're already getting those, right? It allows us to push a little deeper. So on the performance marketing side, the forward-looking guidance that Rachel provided, already anticipates both the increased investment we will be making in performance and its impact on GMS. What we have yet to see is whether these new LTVs make other marketing channels ROI positive, which have not been the case in the past or which we haven't tested in the past. So that's going to be an interesting area for us where there's speculative investments. Let me talk for a second about TV, in particular, because it gives a bit of a view of how we do things here and how we think about things. We've never done TV advertising before. So we don't know how it's going to work. So we're doing R&D on that in the second half of the year and the way we’re going to do that is we created two separate TV campaigns that test two different concepts. Each of those campaigns will be tested in three local markets. So we will pick three cities that are test cities, and we will have three control cities and we will run the TV ads in the test cities and then we will be able to measure the impact on visits and purchases and GMS for people in those cities. Now if you buy a TV ad in a local region, it's about 5x more expensive than doing a national buy. So we wouldn't expected that particular campaign in those cities was necessarily ROI positive, but we could extrapolate if it were a national buy. Would it then be ROI positive? So by structuring a test using only cities, we get much better data on efficacy. And then we would have to think about how that would scale on the future. That’s why we're describing these campaigns as R&D. So we can learn how to put that extra money to work in a way that really grows the pie for everybody.
Rachel Glaser: And I just would add that means that the guidance we gave just now for GMS really assumes almost no upside from the TV marketing spend that will be doing in the second half of the year. If we see that it, what we extrapolate to indicate that it is ROI positive has a potential of the ROI positive, that would be something that we would do more potentially and we build that into our 2019 guidance. I'd say that we have a tolerance, so let the payback periods be longer than what we see with SEM and the Google PLA ads. But we would still be looking for an ROI positive result. It's not just pure brand marketing on face.
Heath Terry: Now that's really helpful. And then, as you realize that it's incredibly early, but curious how you found the seller reaction to the take rate increase relative to what you had expected and planned for?
Josh Silverman: They were $2 million sellers if you do a price increase, you'd expect some local discontent and we got some very much in line with what we thought. We also had quite a number sellers coming out and saying that they really supported it and that they’ve been wanting us to invest more aggressively in marketing for some time to invest more in tools, to invest more in customers part. So I was delighted actually by the number of sellers it really came out and we are supported. But I think what really matters is what are they doing. And as you said, it's still very much early days. But we've been pleased by the behavior we're seeing, which is we do not see a difference right now in the data in churn or in pricing as two important metrics that we’re tracking.
Heath Terry: Great. Thank you.
Rachel Glaser: Thanks, Heath.
Operator: Thank you. Our next question comes from Edward Yruma with KeyBanc Capital Markets. Your line is now open.
Edward Yruma: Hey, good afternoon guys and thanks for taking my questions. I guess, first on promoted listings, maybe talk a little bit more about the opportunity there. It seems like we’ve heard some sellers complain that you're not completing their budget. So kind of what inning are you in with implementing Promoted Listings or maybe offering inventory? And then second, you gave some interesting statistics around repeat buyers. I guess you used to give the adage that the majority of customers, only about once a year. Kind of where are you on that continuum and for your most frequent customers how often are they buying? Thanks so much.
Josh Silverman: Do you want me answer or you …?
Rachel Glaser: Let me start with the Promoted Listings question. So it's -- you're correct, that we will only -- we take a budget from our sellers and we will only spend it if we can get them to a return on ad spend that is a reasonable range. And so to some extent we only utilize a percentage of their budget. Now we’ve increased our optimization of our bidding algorithm and so we’ve been able to improve that utilization rate. So that's good news number one, and we will continue to build in more optimization that click through rate improves listings, like including contact specific ranking in the results because they serve up a much more relevant result even when it's in a Promoted Listing ad. And so the click through rate increases, which theoretically increases demand for that. The conversion rate goes up and we’ve a nice optimization of the bidding. The second thing I will say is just to point out as long as you’re asking about Promoted Listings is that we just anniversaried an inventory, we increased inventory 1-year-ago, so that anniversary happened in this quarter. And so we’ve continued to see very nice growth rates in Promoted Listings, but we're hitting a place where it's on a same-store sales basis, it's going to be harder and harder to continue to get that growth. Yes, we’ve not -- this is the third point I will make is we’ve not implemented Promoted Listings inventory everywhere. So right now it's in a limited number of places. So for or instance we don't put a Promoted Listings at on the sellers listing detail page. We don't put them -- they’re in very few places today. So there's still opportunity for us to expand inventory and promoted listings going forward. Josh, do you want to add?
Josh Silverman: Yes, so there's kind of three things you could do for Promoted Listings. You can get more sellers to adopt it and give you more budget. You can make it, you can add inventory, you can put Promoted Listings in more places, and then you can improve the algorithm, so that you’ve showed the right ad at the right time. I think that we’ve said about 15% of sellers have adopted Promoted Listings, they’re disproportionately sellers who are high-volume and likely to succeed. And so there's still some upward opportunity there for sure, but we've got a good number of sellers who are giving us quite a lot of budget. And so -- and to your point, yes, there is -- they’re actually willing to give us a lot more budget than we are able to spend right now. But we want to make sure we’re very responsible and we only spend the money in a way that delivers a good return for the sellers, we think that's critical. So we did expand a lot of inventory last year. We are now lapping that as Rachel pointed out. There may be other opportunities to expand inventory, well I have to step our way into that thoughtfully on the site. You could think about Google shopping as sort of promoted listings off-site, right. We don't need to limit ourselves only to inventory on Etsy. We give sellers have the opportunity to give us money to invest on their behalf, we can buy them visits on other sites. But the third area where I think we're still early is algorithm improvements. The better our search relevance algorithms get for Promoted Listings, the more we show the right ad at the right time, that really uses the inventory we have better. And just like, I think, we're in early days of improving our search algorithms. I think we're in similarly early days and in fact we’re using very similar technology to power Promoted Listings. And over time, I'm optimistic our -- about our ability to do better there. Oh, frequency, sorry Ed. Frequency. So -- that the -- we are seeing gains in frequency and we are very encouraged by that on a base of 36 million buyers, very small improvements can have meaningful impact. So I don’t think we’ve updated this sort of stat of 60% of people are shopping once a year. I don’t think we publish something more recently on that. What I would say is that if you can move that 36 million number of small amount, it makes a pretty big difference for Etsy and over time we think we could move that number by a meaningful amount.
Rachel Glaser: And we did say on this call that 83% of our GMS is coming from repeat buyers, which grew 23% year-over-year. So you could start to sort of infer from that that we’re starting to get not only more repeat purchase, but some repeat frequency green shoots, we’re calling them, that’s starting to pick up.
Edward Yruma: Great. Thanks so much guys.
Josh Silverman: Thanks, Ed.
Operator: Thank you. Our next question comes from our Mark Mahaney with RBC Capital Markets. Your line is now open.
Shweta Khajuria: Hi, it's Shwetha for Mark. Quick question. You’re expecting $75 million of GMS impact from new initiatives that you talked about. If we were to isolate that like how much do those initiatives have had an impact on conversion rate?
Rachel Glaser: So, I think what we said last quarter was that we had $75 million experiments that created on an annualized basis, incremental GMS growth. And that was from last quarter's experience. We didn't give you that number this quarter, but we have given you guidance for GMS which implies growth in GMS. That comes from our baseline organic growth. So if we all went home and didn’t do any more work at all, there will be a certain amount of GMS we will continued to get. There is the initiatives that we've already implemented from 2017 and the first half of 2018 that continue to keep contributing to the GMS growth. And then there's initiatives that we're working on for the second half of the year that will continue -- that will contribute incremental GMS this year and annualized will continue to give GMS growth next year, but we didn’t break those numbers out for you on this call.
Shweta Khajuria: Okay. That’s helpful. Thanks. How would you sort of categorize the impact on conversion rates that you’ve seen the improvements on the platform for seller tools as well as search experience and through the years so far?
Rachel Glaser: So the experiments that we've talked about on search and discovery and trust and reliability are mainly pushing on the conversion rate metric. Our initiative that when we talk about marketing services that's mainly pushing on visit growth metrics, so those are other two of the three metrics that drives GMS. And then we've done less on the moving of the needle on average order value with the exception of the multi-shop checkout which we’ve talked about and we talked about just anniversarying that this quarter as well. And that allowed people to put more than one item in cart and checkout just once instead of multiple times. And I think Josh even said in his prepared remarks that there's a lot more. We've delivered on the things that we set out to deliver, so we really worked hard. We've been working hard, we will continue to work hard on growing conversion rate and visit growth. And we had less of a focus on that third one, which was average order value, but we see a lot of things in our roadmap that could impact that third metric. But primarily the search and discovery and trust and reliability initiatives and we've given examples of those on last four calls that those are the initiatives, that are the things that are impacting conversion rate the most.
Shweta Khajuria: Okay. That’s helpful. Thank you. Thank you both.
Josh Silverman: Thank you.
Operator: Thank you. Our next question comes from Scott McConnell with DA Davidson. Your line is now open.
Scott McConnell: Great. Thank you. So we think the team has done a really great job of refining Etsy's go-to-market strategy since taking over, including, more recently, the -- with the changing take rate. So you touched on some of the opportunity so far, but what remains for you to continue to refine the go-to-market strategy? And then how should we think about the potential of those efforts to sales growth from today’s level?
Josh Silverman: So we’ve talked in the past about our TAM and we said that the -- just the online segments of our business and our top six categories and our top six markets is $155 billion. So here is, I guess, how I would think about it. If you were to go shopping for home furnishings, we’ve said home furnishings is one of our top three categories, take your favorite site and go shopping for home furnishings, then come to Etsy and see if you can find a product that is more interesting at better value. I think if you're willing to invest an hour, you will. But it takes an hour. It's too hard to find that product, but we actually have beautiful products. Go shopping for jewelry anywhere on any of your favorite sites, then come to Etsy and see if you can find a better more interesting product that expresses yourself better and is great value. I think you’re going to be delighted by what you find, but it takes a while. It's too hard. Same for clothing. If you look at our top categories, if we sold only home furnishings nobody would be asking us how big can you be if you're -- if we're only doing $3.5 billion or so of sales, right. So it's up to us to make it easier to expose that gorgeous product that already exists on our site in these categories that are each in and of themselves, massive. And then when we do that better job, we've got to communicate that while to the world starting with our existing buyers, retraining habits on when to think of Etsy and how often to think of Etsy, is hard and takes time. We've got to retrain 36 million people to think of us more often and understand the breadth and depth of our inventory and then we’ve got to communicate with the people who've never shopped on Etsy and help them to understand that opportunity as well. So I think that there's a lot of opportunity ahead of us. I think we are going to have to unlock it kind of as we go. I don't know that it's always going to be this smooth upward trajectory one could wish, but I wouldn't expect that that will be the case forever into the future. But I think with patience and perseverance and focus, I think we can continue to see meaningful growth on this platform over time.
Scott McConnell: Okay, great. That’s really good. So the second question is on Google's changing their algorithm earlier this year, that places more emphasis on mobile? That’s always been a strong area for Etsy and it sounds like it was really strong this quarter. But to what extend does the algorithm change positively or negatively affect your SEO effort?
Rachel Glaser: So we gave you some mobile metrics on the call that mobile has been extremely strong for us, it always has been, but mobile continues to grow significantly. Mobile was 55% of our overall GMS which that’s a 400 basis point improvement year-over-year and grew 32% year-over-year. And we've also focused a lot of our product work on mobile, so that we see the -- mobile conversion rates continue to improve as well. And so it's for us mobile has been a bright spot in a lot of our growth.
Scott McConnell: Great. Thank you so much.
Josh Silverman: Thank you.
Operator: Thank you. Our next question comes from Darren Aftahi with ROTH Capital Markets. Your line is now open.
Darren Aftahi: Yes, thanks for taking my questions. Just two, if I may. Can you talk a little bit more on the retargeting service you guys are offering to sellers and kind of what attach rates you’re seeing and then I guess where you in terms of marking that your bay? And then, the second question is just I know you formally have announced it, I think at the end of the quarter, but just kind of the impact you’re seeing a month and half in from the DaWanda kind of transition? Thanks.
Josh Silverman: Sure. So the first one, we call that targeted offer. So the idea is how do we take people already interacted with the sellers shop and let that seller reach out to them with, let's say, a promotion or an offer to get them to come back and engage more. And its early days in that, but I would say we're pleased in achieving the projections that we hoped. I don't think we've broken out or given any specific data on that. That’s a brand-new product in the first couple of months of its lifecycle, but over time we think that one is interesting and it's also great for buyers, it's great for growing GMS, and it's a way for sellers to take their destiny into their own hands even more which we think is important. The second question was on DaWanda and that DaWanda decided that that they will be shutting down operations and so that's just been announced to the market relatively recently. So we're now doing is trying to make it easy for their sellers to get started on Etsy, if they weren't already on Etsy. I mean get their listings up and running, and so we've created tools for sellers to migrate listings and to make that smooth and we're pleased with the adoption of those tools and the early results we're seeing in migrating listings over to Etsy. The next step would be for DaWanda to actually cease taking new orders and redirect the buyer traffic to Etsy. And until the buyer traffic were redirected, you really wouldn't expect a meaningful impact on GMS and that’s not [technical difficulty] expected until the end of August.
Darren Aftahi: Thanks.
Josh Silverman: Thank you.
Operator: Thank you. Our next question comes from Laura Champine with Loop Capital. Your line is now open.
Laura Champine: Good afternoon. Thanks for taking my question. Josh, if we focus in on frequency, have you seen much progress in improving existing frequency? And what do you think has been the most effective tool so far in improving that metric?
Josh Silverman: We are -- again, its early days but we are seeing progress there. And what we are hearing more and more from buyers, it just feels like a cleaner more well organized buying experience. It's easier to find the stuff you like and it's easier to buy it once you find it. And I know that sounds kind of basic, but basic is good. So we're delivering on the basics better. We are doing more things. One of the areas that I think there's a big opportunity, in addition to a lot of room to continue to do better on the basics, which I don't want to undersell, because I think it's incredibly important. Doing a better job on our CRM systems and email, I think is really important so that we can communicate better to our buyers and remind them of the great things that we have on offer and send them more personalized. We are now sending much more personalized emails than we used to. Things like sales and promotions can be an excuse to come back and check us out during a time of the year when you might not have thought to come to us. Using retargeting technologies, so in performance marketing how can we find people that are lapsed buyers and speak to them when they’re maybe on Google doing a product search is an opportunity in area that we don't do a lot of today. And I think we can get better at and build traction. Another thing that we're seeing is, there's a fair number of people come to Etsy just to have fun without a particular buying educate -- a buying occasion in mind. How do we allow them to have a great fun experience and leave some breadcrumbs comes to come back to and so really thinking about activities like favoriting and how do we make favoriting more prominent and more frequent as a way to build a look book on Etsy, if you will, that you come back to is something that we've been investing in and seeing some progress on.
Rachel Glaser: You know, I’m going to add just two more, because we talked a lot about on our call, so it's right into your question, Laura, that marketing -- our investment in marketing and our investments in shipping, I think are two larger sort of bets that we would make, let's say, getting to be more of a habit and be more top of mind for our potential and existing buyers out there is one thesis we want to prove out. We don't know yet if that kind of national brand campaign is going to be effective or not, but we -- the thesis is it will. And the second one is shipping that we’ve got a lot of friction in the shipping in the process right now with both shipping prices that are higher than people are accustomed to on other sites, even some that range to the, what we'd call egregious. And then getting returns that you're buying something on Etsy, you don’t -- if you’re buying clothing on another site you know you can easily return often times for free. So getting the return part of the process if needed to also be frictionless are areas where I think we will improve. Remove friction and improve the repeat frequency.
Laura Champine: Got it. Thank you.
Josh Silverman: Thank you.
Operator: Thank you. Our next question comes from Ronald Bookbinder with IFS Securities. Your line is now open.
Ronald Bookbinder: Good afternoon and thank you for taking my questions. You touched on the sales tax, new rolling. Well, it doesn't affect the majority of your sales, it does affect some. And I was wondering, is this an opportunity for you to create additional Seller Services for the merchants on your sites in handling the sales tax for them?
Josh Silverman: Yes, thanks. Hey, thanks for the question. I appreciate it. So we definitely have our sellers back and providing tools that make this easier for them and improve reducing the burden is something that we think is really important and something that we’re investing in. I do want to take a sec. let's take a look at this consortium of states just as an example where it's hundred thousand dollars in sales or 200 items sold in any one state, that includes online or off-line sales across any platform. So I would argue that it is impossible for any platform to know and be able to truly comply with precision to that law. That’s why we think this is bad law. No one could apply, could comply with this law perfectly all the time. So we will give our sellers tools and we will do the best of our ability to make this as low friction as we can, but really we need to work with the federal legislature to try and state legislatures to try to get to better law that achieves the needs of the states to collect tax revenue and does it in a way that also encourages innovation and free commerce. And that's what we’re going to work to do. What I would point out in the meantime is that this is not an existential threat to Etsy. It's friction its work it's not ideal, but we’re going to have our sellers back and it's something of a headwind in the near-term and we will get through it.
Ronald Bookbinder: Okay. And secondly, on the television test in the three cities, will you be able to have those test results to be able to attack Good Friday/holiday in a meaningful way, or will that still be in a testing period and that will be something that we can use next year in marketing?
Rachel Glaser: So it's actually six cities, so its two, three tests, and we hope to -- we are using a media buying firm that's very quantitative. So they -- we set ourselves with them that we get very good performance metrics with only a very slight lag. But it takes a little bit of time, you have to let it run. We are trying to get enough reach and frequency within a period of time to get specifically significant results and be able to draw conclusions from them. It's possible that you see such immediate result favorable or unfavorable that you get -- you can make a decision at that point on whether to do more of it on a national basis and time for holiday or not. But right now we've -- we’re very -- we are trying very much to emphasize that this is all experimental and we are using it to learn and it really will guide our further investments into 2019.
Ronald Bookbinder: Okay, great. Thank you very much. Good luck in the new quarter.
Josh Silverman: Thank you.
Operator: Thank you. I show no further questions. So I’d like to thank everybody for joining today’s conference. This does conclude the conference and you may now disconnect. Have a wonderful day.
Josh Silverman: Thank you very much.